Operator: Good afternoon. My name is Dan, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the AltaGas Limited First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions] Thank you. I would now like to turn the call over to Jess Nieukerk, Senior Director of Investor Relations. Please go ahead.
Jess Nieukerk: Thank you, Dan. Good morning, everyone. Welcome to AltaGas’ first quarter 2018 conference call. Speaking today are David Harris, President and Chief Executive Officer and Tim Watson, Executive Vice President and Chief Financial Officer. After some formal comments this morning, we will have a question-and-answer session. Before we begin, I’d like to remind you that certain information presented today may include forward-looking statements. Such statements reflect the Corporation’s current expectations, estimates, projections and assumptions. These forward-looking statements are not guarantees of future performance and they are subject to certain risks, which could cause actual performance and financial results to vary materially from those contemplated in the forward-looking statements. For additional information on these risks, please take a look at our Annual Information Form under the heading Risk Factors. I’ll now turn the call over to David Harris.
David Harris: Good morning, everyone. We are off to strong start in 2018. Our base business continues to perform extremely. On the financial side, we achieved normalized EBITDA of $223 million, compared to $228 million in Q1 of 2017, and we achieved normalized FFO of $169 million, compared to $170 million in Q1, 2017. Unfavorable foreign exchange rates and the impact of US tax reform impacted normalized EBITDA and FFO quarter-over-quarter by approximately $9 million. Results in our gas segment increased compared to the first quarter of 2017. We achieved normalized of EBITDA of $71 million, compared to $67 million in the first quarter of 2017. Normalized EBITDA in our utility segment was $112 million, compared to $115 million in Q1, 2017. Strong results were offset FX and US tax reform. And results in our power segment were lower at $41 million, compared to $50 million in Q1, 2017, primarily due to planned outages at Blythe and Craven facilities and again impacted by foreign exchange. Our Q1 results of keep stock what we expect to be yet another strong year both financially and operationally. Our new agreement with Birchcliff underpins Gordondale deals for the next 15 years, while setting the stage for growth by being able to attract third party volumes and great opportunities to expand the facility. Our new assets Townsend 2A and North Pine are performing well and construction at our Ridly Ridley Island Propane Export Terminal remains on track Q1, 2019. We are very excited about our future in North East BC, with our energy exports and our unique offerings to producers. Producers are starting to see the benefits of having access to new premium markets for their propane. RIPET supply contracting efforts have been successful so far in 2018 and we now have close to 75% of the supply we need to COD. A portion of this is under tolling arrangements and we ultimately expect approximately 40$ of RIPET's annual expected capacity under tolling arrangements with producers and other suppliers. While Q1 was successful, clearly all eyes are on the second quarter with the anticipated closing of the WGL acquisition just around the corner and our asset sales process is assumed to unfold. With respect to WGL, the approval from the Maryland Public Service Commission on April 4 was a big step forward in the acquisition. And great vote of confidence as to the benefits AltaGas brings to customers and region. With Maryland's approval, we have just the Washington DC Public Service Commission approval remaining. The DC Commission has completed its intensive public hearings and as we forward a full record of the benefits to be delivered through the acquisition. We remain confident the acquisition would be successful for the companies and stakeholders in all of the Washington gases service territory. We understand that DC Commission will issue a decision in May and our expectation continues to be for its successful mid year close. In conjunction with the regulatory process, we are now well down the path of certain assets sales including active discussion on the sale of minority interest in our Northwest Hydro facilities. While Tim will talk a bit more about our financial plans, I would like to convey that we continue to have significant breadth and depth in terms of our options for financing the WGL acquisition. Ultimately, our plans from both an acquisition and financing standpoint, was designed to do several things. Ensure we optimize value and returns for our shareholders, maintain our conservative business risk profile with minimal overall commodity exposure, strengthen our balance sheet and maintain our key credit metric, ensure we maintain strong dividend coverage and the ability to continue to grow our dividend and ensure we have a significant and diversified platform of high-quality, long-lived, low-risk energy infrastructure assets in each of our business segments, gas power and utilities, with a clear path for profitable growth in each well into the future. There is a lot to look forward to over the next few months. We are very focused on continuing to deliver strong results for our shareholders from our base business, closing the WGL acquisition successfully and finalizing asset sales that will deliver strong financial returns for our shareholders. Let me now turn the call over to Tim.
Tim Watson: Thanks Dave, and good morning, everyone. We've started off 2018 with a good first quarter, highlighting the full benefits of our diversified business platform. Q normalized EBITDA was $223 million, compared to $228 million in the first quarter of 2017, and this was despite the uncontrollable factors that Dave mentioned within the first quarter, including both the unfavorable FX rates year-over-year and US tax reform, which together impacted EBITDA by $9 million. Normalized funds from operation otherwise described as FFO were $169 million, or $0.96 per share, flat to last year's $170 million or one $1.01 per share. Now just to quickly review the Q2, 2018 performance for each of the three business segments. First the Gas segment showed good growth this quarter with EBITDA increasing by 6% to $71 million that represented 32% of total normalized Q1, 2018 EBITDA. We saw frac expose volumes increased by 5% and realized frac spreads moved from $10.56 per barrel in Q1, 2017 to $19.01 per barrel in Q1, 2018, an increase of approximately 80%. Gas processing volumes across our plants increased 26% in Q1 in large part due to volumes at the newly constructed Townsend 2A facility, as well as higher incentive volumes at the Gordondale facility. The North Pine facility which commenced operations in the fourth quarter last year also contributed to Q1. Note that the sale in March 2017 of the EDS and JFP pipelines decreased gas EBITDA by about $3 million in the first quarter of this year versus Q1, 2017. Equity earnings from Petrogas decreased slightly to $10 million versus $11 million in the first quarter of 2017, due to a plan turn around at the Ferndale terminal this past quarter. Turning to Power, this segment saw EBITDA of $41 million in the first quarter of 2018, and this represents about 18% of total normalized Q1, 2018 EBITDA. Flight generated increased volumes despite a plant maintenance outage due to greater operational and fuel flexibility which caused it to be dispatched by its customers Southern California Edison for a greater number of hours in a Q1 of last year. Despite the increased dispatch, the plant maintenance outage compacted EBITDA by approximately $3 million in the quarter. The San Joaquin facilities 0:08:26.6 also experienced increased run rates in Q1 due to higher dispatch rates under their PPAS. Renewable volumes were down in the quarter due to lower wind conditions of Bear Mountain and Lower River flows at the Northwest hydro facilities. There was also a plant outage at the Craven biomass facility, a planned outage that was held in Q2 not Q1 last year. A stronger Canadian dollar in Q1 2018 reduces power EBITDA by about $2 million versus Q1, 2017. Now finally the Utilities segment achieved EBITDA of $112 million in the first quarter of 2018, which represented 50% of total normalized Q1, 2018 EBITDA. US tax reform at SEMCO negatively impacted EBITDA by approximately $3 million in the quarter, colder weather in Michigan and Alberta was partially offset by warmer weather in Alaska, Nova Scotia. Continued customer growth and rate base expansion were positives in the quarter. A stronger Canadian dollar in Q1, 2018 reduced utility EBITDA by about $4 million Q1, 2017. Turning to normalize funds from operations. That remained relatively flat in the first quarter of 2018 at $169 million on a per share normalized FFO basis. It was down $0.05 at $0.96 compared to the same quarter last year. In the first quarter of 2018, we received $3 million in preferred share dividends and $1 million in common share dividends from Petrogas, which were both unchanged from the same quarter last year. For the first quarter of 2018, income tax expense was $18 million, compared to $21 million in the same quarter of the previous year. The income tax decreased mainly due to the reduction in the US federal tax rate from 35% to 21% under US tax reform. Normalized net income in the first quarter of 2018 increased slightly to $70 million, or $0.40 per share versus $65 million, or $0.39 per share in Q1, 2017. Key drivers were lower interest expense and income tax partially offset by the decrease in normalized EBITDA, higher preferred share dividends and higher depreciation and amortization. There were several normalizing adjustments for the quarter as you typically see and you can find those in the disclosure that we released this morning. On a US GAAP basis net income applicable to common shares from the first quarter of 2018 was $49 million, or $0.28 per share, up from $32 million or $0.19 per share for Q1, 2017. The increase was mainly due to the factors just discussed along with lower WGL transaction costs. I invested capital net of dispositions in the first quarter of 2018 was $73 million, up from $18 million in the first quarter of 2017. Last year's, you may recall the proceeds from the EDS and JFP asset sale resulted in lower net invested capital. Almost 75% of the total capital invested in the quarter was in the gas business, relating to the continued construction of RIPET. Maintenance capital in the quarter was $5million as expected split between the gas and power segments. AltaGas balance sheet is in a strong position and we're well funded for 2018. At the end of the quarter, debt the total capital is 43%, down from 44% at year 2017. This remains well below our bank and term note covenant levels of approximately 65% to 70%. We have $1.8 billion available on existing bank credit facilities and continue to have very strong access to multiple sources of funding. So now I'll turn 2018 for a quick look there. We anticipate closing the WGL transaction by mid-year, which remains consistent with our original guidance from January 2017 when a transaction was announced. As a combined entity, we expect a normalized EBITDA to increase approximately 25% to 30%. And normalize funds from operations to increase approximately 15% to 20%. The addition of WGL is expected to drive growth in all three business segments. The utility segment is expected to be approximately 40% to 45% of total EBITDA in the first full year, followed closely by the gas and power segments. And this just shows how well balanced AltaGas will be across all of its key North American energy of structured business lines. Gas EBITDA in 2018 will benefit from WGL's growing pipeline investments in the Marcellus, Utica region, as well as the first full year of contributions from the Townsend 2A and North Pine facilities and from higher frac exposed volumes and pricing. Extraction volumes exposed to frac spreads prior to hedging have increased to approximately 10,500 barrels per day for 2018 with hedges in place for approximately 7,500 barrels per day at a very attractive level of $33 per barrel excluding basis differentials. Pro forma for WGL approximately 65% of 2018 gas EBITDA is expected to be generated or underpinned by taker paying cost to service contracts with no direct volume or price exposure. And this percentage should actually increase in 2019. As noted previously, planned turnarounds at the Harmattan and JEEP facilities in the second quarter of this year will impact EBITDA by approximately $ million. 2018 EBITDA from power will benefit from higher expected earnings from the Northwest hydro facilities due to both price increases, as well as efficiency improvements and WGL's growing distributed generation assets across 20 US states. While the PPA for RIPEN expires in Q2 this year, it will be partially offset with the two new resource adequacy contracts that it has been awarded. 2018 EBITDA from utilities will be driven by rate based and customer growth, as well as the addition of WGL's growing utilities business. 2018 expectations assume moderately weaker US dollar relative to 2017, approximately 65% of total expected 2018 EBITDA AltaGas will come from the US. And I'll just give you a quick or at least one quick FX sensitivities. Pro forma for WGL for every $0.05 change in the Canada-US exchange rate, the annual impact of 2018 EBITDA is approximately C$28 million. As you can see, the currency exposure is not overly material and going forward, we will continue to monitor this and consider hedging if necessary, however, as we've noted in the past and continue to note, there are a number of natural hedges in place in terms of US dollar funding, as well as capital investment opportunities that we have in the US. US tax reform is expected to be immaterially negative to normalized EBITDA and funds from operation for AltaGas' US businesses, while on a net income basis, the impact of US tax reform is expected to be immaterially positive. In other words, the impact is not material. Looking at AltaGas on a standalone basis excluding WGL for 2018, we expect a moderate increase to both normalize EBITDA and FFO, as compared to 2017, driven primarily by the factors previously noted. Now turning to 2018 capital expenditures, we expect to spend on a standalone basis $500 million to $600 million. Gas will account for 50% to 55% of that total, while utilities will account for 30% to 35%, and power will be the remainder. Gas and power maintenance capital is expected to be approximately $25 million to $35 million this year. The majority of capital this year will be allocated towards continued construction of RIPET, as well as growth capital associated with the tie-in of incremental third party volumes in the gas segment. Capital will also be allocated to maintaining and growing the utilities rate base, as well as for pre-construction design, engineering and right away procurement from the Marquette Connector Pipeline. The 2018 capital program is expected to be funded through internally generated cash flow and the dividend reinvestment plan. On a combined basis with a mid-year closing of the WGL transaction, we expect capital expenditures in the range of $1.0 to $1.3 billion, similar to AltaGas' standalone spending close to half of this total will be allocated to gas, with the majority of the remaining expected capital directed to utilities followed by power. All of the financing required to close the WGL acquisition is in place currently. We continue to evaluate in advance an asset monetization strategy in a prudent and timely fashion, in step with the regulatory process and consistent with AltaGas' long-term strategic vision. We are conscious of the need to deliver a strong financial outcome for AltaGas. At the same time, we will target the right asset mix for the company on a go-forward basis, and ensure a meaningful financial return for our shareholders. We are confident in our ability to monetize assets in a manner that achieves those results. Discussions are active on several fronts including the potential sale of appropriate minority interests in the Northwest BC hydro facilities. And we are confident and fully expect to achieve just over $2 billion proceeds from the sale processes. Offerings of hybrid securities and senior debt also continued to be planned for 2018. Following the close of the transaction and the various financing steps we expect to have a stronger balance sheet set of metrics starting in the first full year of 2018. We anticipate FFO to debt calculated based on S&P's definition to move towards the mid-teens level and net debt to EBITDA to tread down towards near 5x. Through all of our funding decisions, we remain committed to maintaining strong access to capital and to our investment grade credit ratings. The WGL transaction remains a very strong strategic fit for AltaGas. It brings significant opportunities for continued growth in all three business segments, gas, power and utilities. It also adds to our financial strength, when we complete this resulting in a combined asset base of over $20 billion. On a combined basis, approximately 85% of total EBITDA will be underpinned by contracts or regulated assets with no direct commodity or price or volume exposure. The WGL transaction remains highly accretive to both FFO per share and earnings per share beginning in the first full year of 2019. This will support visible dividend growth through 2021 while allowing AltaGas to maintain a sustainable payout ratio of normalized funds from operations. Finally, as a reminder, we have posted sensitivities for frac spreads FX rates and natural gas volumes in our current investment presentation located on our website. And so with that I'll turn it back to Jess.
Jess Nieukerk : Operator, we will now open the call for questions from the investment community.
Operator: [Operator Instructions] Your first question today comes from the line of Robert Hope with Scotiabank. Please go ahead.
Robert Hope: Good morning, everyone. I was hoping you could provide some additional color on the asset sales process? The Q4 MD&A spoke of asset sales in the gas, power and utility businesses. The commentary in the Q1 appears more focused on the Northwest hydro assets. Does this imply they have price discovery for your hydro assets and that could represent the majority of the $2 billion bogey you're looking for?
Tim Watson : I'm happy to start and I'm sure Dave is can chip in as well here for any of these questions, but I think Robert so we did, you're right, we did signal out really I think in response to questions we've had throughout the piece here, Northwest hydro in the form of a minority interest. And I think that plus other active processes that we had on their way are getting us to a point where we're getting clarity and better price visibility. We expect it will have more to say in Q2 on that, but at this point as we sit here on the April 26, that's our position.
Robert Hope: Okay, that's great, and then just to follow up there because you did mention that you expect some additional information in Q2. So is the assumption that assuming WGL does proceed that you could get asset sale announcements in a relatively short order?
Tim Watson: Yes. That is correct. Our expectation is WGL is still trending towards that midpoint of the year. So again no change on that communication and in conjunction with that in Q2, which we're in right now, we would expect to see developments on the asset monetization fronts as well.
Operator: Your next question comes from the line of Patrick Kenny with National Bank Financial. Please go ahead.
Patrick Kenny: Good morning. On the dividend growth guidance I noticed the 8% to10 % range was taken out of the press release today just I believe it's still in your corporate presentation. So just wondering if anything has changed on your outlook for dividend growth on a combined basis?
David Harris : Yes. This is a Dave Harris, I'll start, Tim can certainly chime in, and nothing really has changed. I wouldn't read anything into that whatsoever, it's just as the strength of the steel and the strength of the combined companies was still very compelling and certainly supports strong dividend, if we so desire we've certainly been listening and picking up with respect to our investment community is that always necessarily, just a prudent thing that you hold some of that pot of back and reserve and use that on a more capital basis because we also have a very strong growth and capital program that comes with the combined companies. So there's nothing has changed with the expectations of the value of the deal. And the amount of value it brings to us to turn around and if we want to hit that accelerator on the dividend side. It's just more of an issue of what is the appropriate thing to do once we get the deal closed. And get into the deal of what's the best way to just create value for the shareholders. So don't read anything into that whatsoever if is any concern whatsoever there's a fall-off and be able to support dividend. That's not issue.
Patrick Kenny: Got it. And then David maybe perhaps you could provide an update just on any discussions you might be having with stakeholders in DC with respect to a potential settlement prior to the Commission making a decision here in May? I guess similar to how things played out in Maryland.
David Harris: Sure, I'll be glad to matter of fact I'm actually myself and John O'Brien making this call. I'm actually sitting in Washington DC right now. So we are into settlement discussions with the stakeholders. We're certainly very mindful of the clock and pacing accordingly. And I just like to have everybody reflect back the settlement discussions we had in Maryland were pacing about at the same timeframe that we do in here in DC. So we're into those settlement discussions. I really don't want to say too much further on that. And we're certainly mindful of the clock and sequencing where we're pretty much on the same path where we were now. 
Patrick Kenny: Okay, great and last question if I could. And just with the buzz around West Coast LNG coming back recently wondering if you guys have dusted off some of the work you've already done on your floating LNG project at Kitimat and if you might be pursuing commercial off take contracts at some point again here soon? And perhaps what that might mean for keeping the PNG pipeline out of your disposition program to fund the acquisition?
David Harris: Sure. We certainly are always very focused with respect to what's going on in the LNG market. And not only just because of a recent activity I think LNG Kitimat just announced to their UTC firms going to be. There's certainly tracking strong to from NFID towards the end of the year, but we for some time always keep an eye on this. And we have our joint venture relationship with Idemitsu gives us a great conduit into what's going on in Asia, and what the needs are there and not only just within kind of the Pacific in general from an LNG perspective. So we are staying right on top of that. We reviewing the market to start and turn to be more optimistic with respect to LNG and egress off of Western Canada. And we're poised with timing to take advantage of it. I just like to point out is when we kind of halted our project, we certainly when we go to revitalize it can turn around and move relatively quickly on it because of the nimbleness and the simplicity of that design. So we'll certainly be there as one of the first movers as we have the opportunity in contracts and LNG market turns.
Operator: Your next question comes from the line of Ben Pham from BMO. Please go ahead.
Ben Pham: Okay, thanks, good morning. I had a question on the Northwest hydro assets and I am more curious how you came to the decision of selling or potentially selling minority interest versus a full 100%?
Tim Watson : I am happy to start. I think the fundamental premise for that asset is it's an asset we're very proud of as a company. We built it from scratch as you know Ben. Its core part of the company. It's also a very unique asset which arguably doesn't get full market recognition for us, but not withstanding that is core part of our portfolios. So really you start with the fundamental premise of how we view the asset and how we view it as a fit within our overall company. And then you work from that point. So while a minority interest could potentially make sense should it surface the value that we expect it will. We will continue to operate the asset and it will continue to be a meaningful part of AltaGas.
Ben Pham: So are you -- there's still possibility of you offloading all of that, is that still in the cards?
David Harris : No, yes, I'll jump in. Sorry, Tim, I may over launch it but yes it's not in the cards for us to unload the entire asset or majority interest.
Ben Pham: Okay, all right, thanks for clarifying that. And then on the beyond$2 billion asset sales, can you refresh us on what's left on the breadth and depth side of things and maybe just general comment on the hybrid markets in general?
Tim Watson: I'll start I guess on that one. There's been no change in terms of our expectations, really this goes right back to January 2017. In rough terms, we'd be looking at and I think there is a chart that we've shown in our Investor slides over the past year that would indicate hybrid proceeds could be logically in the odysseys round number is to say 700 US could be plus or minus but something in that range is consistent what we have said. And that's the right -- that's probably the right size and fit for as we structure our balance sheet on a pro forma basis. We do like that product. We in fact use that product in the Canadian market as you know right now through our strong access to Canadian dollar preferred shares. But we would like to also ultimately diversify, continue to diversify our funding sources. And I think US dollar hybrids are a very viable market. It remains a viable market and notwithstanding moving interest rates that market is still wide open. And that's the view of a number of banks that we speak to. So that would be part of our plans here through Q2 and Q3.
Operator: Your next question comes from the line of Robert Catellier with CIBC Capital Markets. Please go ahead.
Robert Catellier: Hi, good morning, everyone. I just want to follow up on that last question. I know there was some currency hedging done at that time of the WGL transaction but none of the hybrid or fixed income requirements to fund and repay the bridge loan have been hedged, are they?
Tim Watson: The hybrids would be a primary target is the US dollar hybrids markets. So define that better it's not the deferred shares we would be looking at. It would be long term 60 years type of subordinated money which is usually recognized about 50%, equity 50% debt on a balance sheet. And so that's what we would be talking about US dollar funding for that component. 
Robert Catellier: Right. But there is no rate hedge. I know there was some FX hedging notes, there was no just rate hedge, was there?
Tim Watson: There is no at this time. We historically haven't felt the strong need to do that. There is a different use in the market in terms of whether rate hedges make sense or whether they are basically priced into the market, Robert. But certainly we are continued to watch the market. That's certainly an option for us as we go through this quarter. But at this moment of time there are no rate hedges. 
Robert Catellier: Okay. Just a couple of questions here on RIPET. It looks you've taken up the propane supply to both 75%, so an increase from previous disclosures. And I am wondering how much of that comes from Birchcliff as a result of the Gordondale re-contracting or if there are other customers involved there? And then I have a follow up.
Jess Nieukerk: Rob, sorry, its Jess here. I am just going to cut in, we can't actually provide specifics around the customers on RIPET right now. 
Robert Catellier: Okay. And then finally how do you view hedging of frac spread post commissioning of RIPET? Would you have appetite to take on more frac spread knowing you have that to oversee out letter, is your philosophy there going to be the same?
David Harris: Robert, certainly there will be a look at because of the outlook we have and the added flexibility it creates so it could be in and out. Randy I think you are in a room, if you want to turn around and jump in and finish up the question.
Randy Toone: Yes. We will continue look at our hedging strategy and then when RIPET comes on, it definitely opens up the doors, different types of hedging strategy even Far East Index hedging, but we're still evaluating that and it like Dave said it opens up more doors for us.
Operator: Your next question comes from the line of Robert Kwan with RBC Capital Markets. Please go ahead.
Robert Kwan: Good morning. Maybe I'll just start on the dividend and the earlier question or your earlier answer Dave just to make sure it's crystal clear. Sounds like you're very confident the underlying fundamentals and what WGL does and the ability to support that 8% to 10%, but it also sounds like you are contemplating what to actually do with the dividend and like you said talking to shareholders. So are you contemplating how to play around with the growth rate? Like I guess what's on the table? Are you playing around the growth rate? Is it potentially leaving it flat? And I only ask this because it was strategically done with the company in the past with board members that are still there. Would you actually contemplate a strategic cut and dividend?
David Harris: No, there is not a contemplation to be crystal clear or strategic like a dividend at all. In going back just to clarify and to pick up on your comment is certainly the fundamentals are very strong. So there's no issue with the cash stream coming in with respect to the deal in the combined companies to support the RIPET. It really just comes down to it at the stuff the strength of the deal and the cash that comes on in is what's the appropriate way to dispense that, whether it's through pushing the dividend or holding some of that back and reserve and using more for the capital program that is a healthy amount of that about $5 billion of that roughly is in the queue with another think $2 billion and $2.5 billion on top of that facing relatively, so relatively certain so it just comes down to where do you want a place to chips on the table that creates the overall maximum value for the shareholders. That's really what it comes down to Robert. It's just what we've decided to do with the power of the cash flows to come off the combined confidence.
Robert Kwan: Understood. And then coming back to the hydro asset sales and BC. Sounds like you're pretty far down the road. So I'm just wondering there was kind of some wording around the use of appropriate minority interest. I'm just wondering you can elaborate on what that meant? And are you also just looking at a straightforward minority interest sale i.e. x% sale for x% of the cash flow or you also -- are you looking at something a little more complicated in structuring?
David Harris: Tim you want to start or --
Tim Watson: Sure. I think I wouldn't read too much into the word appropriate. It's just --it's at the end of the day we just want to -- we want to do the appropriate deal. And it would be a minority interest or interest and there are different scenarios that could fall out of that. So I mean I think just-- I mean I wouldn't parse it too carefully on that particular word I guess Robert. The key point is what I've indicated in terms of the economic content here. Sorry, what was the second part of the question?
Robert Kwan: Just are you contemplating a straightforward minority interest sale or is there potentially some more complicated structuring and straightforward just being sell x% to get x% of the cash flow?
Tim Watson: Yes, no, that's right. That's as simple as that. As you know we don't have debt on the asset at this moment. It's just an asset that is speaks for itself. So straight up minority's disposition at the right price.
Robert Kwan: That sounds good and then just finishes on asset sales as well. You've got the kind of the over $2 billion target tied to WGL. I'm just wondering is there an amount that you are thinking about going forward with on asset sales absence of WGL.
Tim Watson : Again I think it's an interesting interplay and which you've seen over the past several quarters here as we both advance WGL to the finish line. We're obviously getting close to there and prepare ourselves transaction specific financing steps. I would say that some of the steps that we have underway are steps that we could quite comfortably proceed with irrespective or independently of what's happening with WGL and in other words that they can make sense on their own, but having said that, I think we are geared generally to fund the transaction in a timely way upon closure of it. So that we're coming out of the gate with a strong balance sheet. So that's again how I think about it, at the end of the day we want to be in three business lines, grow three business lines. We don't favor one over the other as we've said continuously here. We've got good balance today, as well as coming out of the gate with WGL. And that'll be the case as things unfold.
Operator: And we have no further questions in the queue at this time. I would now like to turn the call back to the presenters.
Jess Nieukerk: I'd like to thank everyone for joining our Q1, 2018 conference call. Ashley and I are available for any follow-up questions you may have.